Operator: Good day, ladies and gentlemen, and welcome to the Q1 2014 MoSys Inc. earnings conference call. My name is Mark, and I'll be your operator for today. (Operator Instructions) I would now like to turn the conference over to your host for today, Beverly Twing. Please proceed.
Beverly Twing: Thank you. Joining me on today's call are Len Perham, MoSys' President and Chief Executive Officer; and Jim Sullivan, Chief Financial Officer. Before we begin today's discussion, I would like to remind everyone that this conference call will contain forward-looking statements based on certain assumptions and expectations of future events that are subject to risks and uncertainties. Such statements are made in reliance upon the Safe Harbor provisions of Section 27A of the Securities Act of 1933 and Section 21E of the Securities Exchange Act of 1934, which include, but are not limited to, benefits and performance expected from the use of the company's embedded memory and interface technologies and ICs; expectations concerning the company's execution and results; expected benefits of the company's ICs, product development, achievement of design wins and timing of shipments of the company's ICs; predictions concerning the growth of the company's business and future markets; and business prospects, strategies, objectives, expectations or beliefs. Forward-looking statements made during this call are subject to risks and uncertainties that could cause actual results to differ materially from those projected. Additional information concerning factors that could cause actual results to differ materially from any forward-looking statements made during this call are contained in the company's most recent reports on Form 10-K and Form 10-Q filed with the Securities and Exchange Commission, in particular in the section titled Risk Factors, and in other reports that the company files from time to time with the Securities and Exchange Commission. MoSys undertakes no obligation to publicly update any forward-looking statement for any reason, except as required by law, even as new information becomes available or other events occur in the future. Thank you for your attention. I will now turn the call over to Mr. Len Perham, Chief Executive Officer of MoSys. Please go ahead, Len.
Leonard Perham: Thank you, Bev. Good morning, everyone. I'll begin today's call with a few highlights, and then provide more details on our first quarter accomplishments; turn it over to Jim, who will review first quarter financial results prior to us opening the call to your questions. So getting started. Simply stated, 2014 is off to a good start. We won multiple new designs with customers in Japan, China and U.S. during this quarter, primarily for various members of Bandwidth Engine 2 family. These design wins serving burst, access and/or intelligent offload applications illustrate the breadth of system-level challenges the Bandwidth Engine family addresses or to look at it another way, the number of functions on the board, this uniquely architected networking memory is capable of competing for. These new design wins came from a combination of new customers and as well existing customers, sending their next projects our way. We are very gratified by that. We substantially increased the total unit shipped, albeit still a small number at this point in our life, but we did substantially increase the total number of unit shipped quarter-over-quarter, shipping nearly as many units in the quarter -- I'm sorry, shipping as many units in the quarter as we shipped in all of 2013. We are very gratified by this upturn in shipments. However, there are a few observations I would like to make regarding this current situation. One, we are witnessing the early turn on of the Bandwidth Engine 1 design wins we were awarded in Asia in 2012. And though it's gratifying to see these shipments increasing in units and dollars, it is not a significant revenue inflection point we were still looking for. I want us to be cautious and not have our expectations too high. We also see the first Bandwidth Engine 2 design wins we were awarded in mid-2013 turn on in the third and fourth quarter of this year. No strong indication yet, although progress with the customer and his system is going very well. We know these customers are working very hard and are very satisfied with BE2 and its performance. However, they've not yet released their early production orders to us as yet. I am following up on comments from last quarter's analyst call in with this next remark. It is not easily possible for us to project with accuracy when customers will release their systems to full production. We try hard to forecast it. However, in the end only the customer controls that release date. We remain confident it is coming. We remain confident that the future is good. However, we cannot precisely call that inflection point and then inflection point is critical to us. It's a good measuring point that you guys all watch. That's when revenue significantly ramps up and losses on a period-to-period basis significantly decline. We did very well in the design win category, this past quarter, and we expect to repeat that in the current quarter. As a result, we should record substantially more design wins in 2014 than 2013. However, the critical inflection point where revenue ends up is still illusive, most difficult to forecast, and we've been partners for a long time. I just wanted you to know that. In addition, Bandwidth Engine 2 has now passed full carrier-grade qualification and has been released to production. These accomplishments provide additional validation of our technology, further support our expanding sales effort to the customers and position us for volume standard product shipments. In order to pass our carrier-grade qualification and achieve what we call, full production release, we have to freeze and document backend assembly and test production flows. This done, we can now focus real energy on driving cost out of these standardized backend flows. You may see a relatively short period of high IC unit cost here and there, but you can be sure that now that we've standardized these processes, we will be moving to drive the cost, sell them as fast as possible. We continue to feel very strongly that the Bandwidth Engine families are very viable solutions, solve very important system-level problems and should enjoy both a long product lifecycle and very high gross margins. Let's talk a little bit about the sales funnel. The best indicator of our success right now is design wins, how many we win, with whom and on what projects. Later you would want to watch incremental revenue growth, as I mentioned earlier, and the amount of revenue that falls you to profit. We are not quite to that crossroad yet. Having said that, the high level of sales activity on both the Bandwidth Engine and the LineSpeed product families is very encouraging. Management remains very optimistic regarding our current situation and the likelihood of us being successful in achieving our goals and objectives. We were particularly pleased with customer traffic at recent Optical Fiber Conferences and Interop trade shows, where we demonstrated Bandwidth Engine with its highly efficient GigaChip interface, using Xilinx's latest context UltraScale FPGA. This also allowed us to showcase our LineSpeed 100 gig PHY solutions. The exceptional performance of these solutions, during these partnership demonstrations was well-received and resulted in Goodman new sales leads. These are probably the best shows I've been to in a very long time in terms of the outcome for the company. Currently, the majority of Bandwidth Engine sales activity pertains to Bandwidth Engine 2. Said interest being focused on one or more of its three distinct solutions, the MSR620 for burst applications, MSR720 access and the MSR820 Macro with intelligent offload capability. Customers have the option to select specific solutions, tailored to their system requirements, which increases our competitiveness, expands the TAM we can compete for and has driven heightened interest and increasing sales activity. While the trends and performance favoring Serial Interfaces and the Bandwidth Engine concept driving activity in our sales channel at a strong pace, we are also experiencing increased customer interest for our LineSpeed family of products. It is worth noting that we have a healthy ratio of both Tier 1 and Tier 2 candidates considering LineSpeed for the next generation systems. Let's move on to a bit more product specific detail, Bandwidth Engine 1. Our first Bandwidth Engine 1 customers are now showing signs of transitioning the systems that include our Bandwidth Engines into production. However, they are still in the early stages of ramping and we have yet to achieve any significant visibility on their full production release and their ongoing volume requirements. This is not atypical. We are now trying to get the customer sit down and give us a long-term forecast and engineerings trying to transfer the system to manufacturing on their end. This is a very typical problem. Trying to get their attention to talk about when it will ramp, what do we need to think of start levels and so on and so forth. We remain focused on meeting our customers needs for bringing up support, while standing by to provide on-time delivery of their early on volume requirements. While all this has been going on, we've been winning strong follow-on orders for other systems and in most cases, these wins will utilize BE2 products. A little bit more about BE2. Bandwidth Engine 2's release to production is a very solid step forward for us that is manufacturing test and quality assurance flows and specifications are now frozen. And we can ship a standard product to address any and all of our customers needs. All the learning we accumulated, supporting the customer, bring up requirements for BE1 is applicable to BE2 bring up. Therefore, we hope that turnaround can be quicker and cleaner for BE2 products. We expect BE2 to have a long product lifecycle. Clearly, we will be spending considerable time and energy cost, reducing the manufacturing steps and flows that allow us to build BE2, because we expect it will be with us a very long time and we wanted to strive to attain the highest margin possible on this product. I'm extremely gratified to see a positive reception for the MSR820 intelligent offload than with Engine 2 option. We won our orders for this BE2 option last quarter, and I am quite sure we'll see more as year progresses. This product really reflects what we are all about. The customer can offload difficult, time consuming, power consuming computations from his ASIC, NPU or FPGA onto the MSR820, increasing system performance, reducing system cost, decreasing system power. Very, very exciting for the engineering team here to see. BE2 brings fast intelligent memory access to packet and data processing applications. The product can support up to 4.5 billion accesses per second, which is at least twice the access rate of any traditional memory. The majority of design wins we have been seeing with customers related to solving access problems in their systems. Our BE2 devices provide intelligent memory access and offload capability and relieve constraints in capacity and performance from the main central processing unit. Using the offload capability of the MSR820, customers can increase the effective performance of the product up to 6 billion accesses per second. This exceptional performance underscores how BE2 with its high-speed GigaChip Interface supports MoSys' efforts to provide solutions that will open up memory access bottlenecks for 200 gig plus new terabit networking systems. And as just a small afterthought here, we've won some design in this area. This is really exciting stuff for us. People are pushing BE2 right to the rail. With regard to Bandwidth Engine 3, we formerly announced our third generation architecture in the first quarter, featuring industry's highest serial throughput and memory access rate. While it's too early to be announcing design wins, given we don't have the product yet, our sales team is focusing on aligning use of BE3 with our processor partners, and the majority of our discussion to date are with perspective Tier 1 networking and communications companies. Once BE3 becomes available, we expect solid demand for reference boards and bring up support from both our processor and FPGA partners, as well as customers internal SoC teams. As such we are focused on getting BE3 pass the development stage into silicon and in the customer's hands by the end of the year, that's this year. The BE3 architecture will deliver unprecedented performance capability offering 800 gigabits per second of I/O performance, up to 10 billion data accesses per second in an excess of 1 gigabit of high access rate embedded memory. Multiple product options will be derived from this architecture with many new features of optimized co-processing for NPU/ASIC and next-generation FPGA based solutions. It will also have macro functions for even greater offload capability. BE3 is not a replacement for BE2, but rather a complementary product family that will raise the bar in terms of system level performance. Many projects we're looking at now will require both BE2 and BE3 components sitting on the same platform. Development is progressing well. Current targeted tape-out is late third quarter, that's next quarter with a goal of having silicon in hand by yearend. Turning for a moment to our LineSpeed product family. We continue to gain interest for our gearbox and retimer products in the market. Their flexibility, distance and low power attributes to make both these high-performance solutions flexible for customer applications. We expect to release a 100 gig gearbox to production in the first half of this year, followed by the release of the retimer in the second half. We continue to see an increasing amount of sales activity pertaining to our LineSpeed 100 gig files, as interest in new opportunities have increased over the last few months. Our 100 gig LineSpeed solution support a broad range of data rates and channel lengths for flexible support of high-density 10 gig, 40 gig and 100 gig Ethernet OTN applications in networking, communications and computing. These applications range from long reach across backplanes, mezzanine connectors and passive copper cable to very short reach connections to optical modules, and in fact just across the line card. In addition to current market opportunities, we expect our addressable market for LineSpeed to expand, as market completes its transition to 100 gig and CFP2 and CFP4 modules start to gain traction. When we launch for LineSpeed product family, we knew we were entering a competitive environment and we've been very pleased thus far with our initial design wins and the level of customer interest. With 100 gig technology maturing we are establishing new technology and new customer engagements, as our LineSpeed devices will become more and more relevant. While we are still early in the 100 gig product lifecycle, we are seeing increased sales activity, not only for our current LineSpeed devices, but also for the next generation devices currently well along in development. Before I conclude my remarks, I want to provide a brief update on our progress to offer our customers a second source for our Bandwidth Engine family of products. As of today, we are very close to establishing that partnership that we've talked about so long that will provide both parties with more than a typical second source agreement. We believe this arrangement will strengthen customer confidence and will likely result in more advanced solutions for the marketplace. And by extension, expand our sales channels and market opportunities. Once the agreement is finalized, I look forward to jointly announcing the relationship with our partner and to providing more details. So saying something that's bullish, it's probably more of a logistics problem than a negotiation now. In summary, we're off to a good start for 2014 with multiple new design wins and the step-up in IC shipments. With the completion of carrier-grade qualification and BE2 as full release to production, we are now able to support our BE2 customer base and support our customers' future production lamp with a steady supply of standard products, while we continue to make solid progress on new product development and further expand our sales funnel activity. I believe we are well-positioned to make 2014 a very good year in terms of design wins and increasing more and more closer and very strategic customer engagements. While we wait to see more and more of our customers' products or systems get release to market, we will be supporting his every effort to get these boxes out the door, as efficiently and effectively as possible. I'm going to turn the call over to Jim for a review of our first quarter financials. Thank you for your time and attention.
James Sullivan: Thank you, Len, and good morning, everyone. During the course of my comments, I will make several references to non-GAAP numbers. Unless otherwise indicated, each reference will be to an amount that excludes stock-based compensation expense and intangible asset amortization. These non-GAAP financial measures and a reconciliation of the differences between them and comparable GAAP measures are presented in our press release and related current report on Form 8-K, which was filed with the Securities and Exchange Commission today and can be found at the Investor Relations section of our website. In addition, starting with the first quarter of 2014, we will be reporting our IC product revenue separately from our IP licensing and royalty revenue, which will be reported as a combined amount. Prior period amounts have been reclassified to conform to this presentation. Now, let's review our first quarter financial results. Total revenue was $1.3 million compared with $1 million in the fourth quarter of 2013 and $1.3 million in the first quarter of 2013. Product revenue from the sale of our integrated circuits was $0.6 million in the first quarter of 2014 compared with $0.2 million in the previous quarter, reflecting increased shipments of our IC products. First quarter 2014 product revenues reflected a $0.15 million reversal of sales reserves recorded in prior periods. Royalty and other revenue for the first quarter of 2014 was $0.8 million consistent with the fourth quarter of 2013. Royalty and other revenues primarily comprised of royalties received from semiconductor customers, whose products include our IP as well as small amounts of revenue generated from maintenance and support services related to legacy IP license agreements. GAAP gross margin for the first quarter of 2014 was 57% compared with 78% in the prior quarter and 99% in year-ago quarter. The sequential and year-over-year decrease in gross margin was primarily due to increased IC sales, which carry lower gross margins than royalty and other revenues. In terms of our operating expenses for the first quarter, total operating expenses on a GAAP basis for the first quarter of 2014 were $8.9 million compared with $7.3 million in the previous quarter and $6.3 million in the first quarter of 2013. Total operating expenses included $0.3 million for amortization of intangible assets and $1.5 million in stock-based compensation expense. The sequential increase in operating expenses was driven by higher personnel related expenses and engineering cost associated with the development of our new products as well as a $0.6 million increase in stock-based compensation expenses due to the timing of vesting of restricted stock units granted to employees. Research and development expenses were $7.1 million compared with $5.8 million in the previous quarter and $5.3 million in the first quarter of 2013. Selling, general and administrative expenses were $1.8 million compared with $1.5 million in the previous quarter and $1.6 million in the year-ago period. On a non-GAAP basis, total operating expenses for the first quarter of 2014 were $7.1 million compared with $6.1 million in the previous quarter and $5.2 million in the year-ago period. On a GAAP basis, net loss for the first quarter of 2014 was $8.1 million or $0.16 per share compared with a net loss of $6.5 million or $0.13 per share in the prior quarter and a net loss of $5 million or $0.12 per share for the first quarter of 2013. On a non-GAAP basis, net loss for the first quarter was $6.3 million or $0.13 per share, which excluded intangible asset amortization and stock-based compensation expenses totaling $1.8 million compared with a non-GAAP net loss of $5.3 million or $0.11 per share in the previous quarter and a loss of $3.9 million or $0.10 per share in the year-ago period. Net loss per share for the first quarter of 2014 on a GAAP and non-GAAP basis was computed using approximately 49.2 million weighted average shares outstanding. Now, turning to the balance sheet. As of March 31, 2014, our cash and investments balance was $45.7 million compared with $50.5 million at December 31, 2013. As of March 31, 2014, our total headcount was 111 employees compared with a 104 employees in the previous quarter. Of our total employee count, more than 80% are in applications, engineering and research and development and 25 are located in India compared with 23 in the previous quarter. As of March 31, we had 49.5 million in total shares outstanding. This concludes my prepared remarks. At this time, we would like to open the call for a question-and-answer session. Operator?
Operator: (Operator Instructions) Our first question comes from the line of Gary Mobley from Benchmark.
Gary Mobley - Benchmark: Jim, for clarification, how much was the revenue reversal on IC sales in the quarter?
James Sullivan: Approximately $150,000.
Gary Mobley - Benchmark: So in the quarter you shipped, I am guessing somewhere between 7,000 and 8,000 BE1 units. I'm just hoping that you will indicate where those shipments are going in, for what type of application? And I guess ultimately, I am curious to know what the potential volumes are for B Engine 1 as 2014 unfolds and as we transition the sales of BE2?
Leonard Perham: So basically, we're shipping those units into line cards that are going into new edge routers. I don't think there is any in records, mostly edge routers, Garry. And in terms of the size of that business, we speculated that those various design wins might have knocked to somewhere between maybe as much as $10 million a year or maybe even $15 million a year over time. The various customers that we're doing that business with have awarded us quite a few more platforms over time now. And so I think the business that we can do in that theater is considerably more than that. And I think that these -- you can make a rough estimate of what we might ship into that market by just the way, we just did that last computation, just roughly figuring that the units are $100 each and compute what's going on.
James Sullivan: I would just also add to Len's comments, Gary, obviously we are on sell-through accounting. So necessarily shipments and revenue recognition, there will be timing differences, particularly with our BE1 customers. In Japan, we go through distributors. So there is some time lag between when we recognized revenue and when we ship and some times that can obviously crossover a quarter.
Gary Mobley - Benchmark: Len, you've been pretty confident that you'll have a second source lined up, confident for a couple of quarters now, that you'll see some to come to fruition. I'm just hoping you could share with us what the impedance has been so far and how close, potentially in regard to concluding such an arrangement?
Leonard Perham: It's easier to sell your house today, if you're willing to give it away. So basically we had a fair bit of progress on some very major relationships to get down the road with both BE2 and BE3. And anybody that was trying to negotiate being our partner in a alternative source was negotiating from a point, a very strong point, when we were a long ways from having that big relationships with potential customers become perfected We're now getting close and closer to these things being real. And we've gone from interesting candidates to be our partner, that are waiting for us to call them, to them saying when we can be get this done. So one was all good things have to come at the right window of time, so that everybody can see the value provided by the other parties. And I guess if there is a second thing for me, I struggled a long time, I'm obviously not a particular fan of second sources that just provide their customer with the opportunity to thrash your prices. Although, over time now and working on a bilateral relationship, I've convinced myself that what we're looking at now can be very, very good game changing for all parties involved. And I'm enthusiastic. And I made that off-handed comment this morning that it's not so much of a negotiation now, perhaps maybe it's a logistics thing. So the point in time when this is right for everyone is perhaps upon us or very nearby.
Gary Mobley - Benchmark: Correct me if I'm wrong, but the reason that you didn't show much gross profit for the Bandwidth Engine 1 IC sales was the need to standardize the backend test and assembly, but once that's completed, would you still anticipate gross margins for BE1 to be in the 50% to 60% range and that for BE2 to be north of 60%?
Leonard Perham: Actually I'm going to let Jim comment too after I make a short comment. BE1, there is still a lot of noise level, the volumes are low enough that you're rattling around inside of these offshore assembly houses and so on and so forth. You're not getting very good attention and you're not able to negotiate very good pricing, because your volumes are just not very high yet. So there is a fair bit to be done there. Now, having said that in terms of the amount of effort that we'll put into BE2 versus BE1 or BE1 versus BE2, the BE1 will probably not win many designs after the end of this year, and that's being gracious that you've factored BE2 as three distinct integrated circuit solutions for the three different options I've mentioned earlier. It's a very, very desirable and it gets targeted by the user. So I would tell you that you have reason to expect that the Bandwidth Engine family is going to be a 60%-plus gross margin product. To breakout BE1 from BE2 from BE3 from whatever we do next is probably a bit too much detail. Now, having said that BE1 will not in my opinion, be as easy to get the same gross margin, now that there's BE2 for a lot of reasons, including the die size is bigger and et cetera. But also because of the fact that we have now, me running the meetings -- have been meeting with our suppliers and just starting to talk very serious, now we've got engineering flows, I want to see the cost out of this right now. So Jim, you may want to add to that.
James Sullivan: I think your answer is very comprehensive Len, and I think I would say with Bandwidth Engine 1 it will be a challenge to get the margins above kind of below 50% range. I don't see anywhere near 60% for Bandwidth Engine 1 given what Len talked about the die size et cetera. But certainly Bandwidth Engine 2, and as Len mentioned in his comments on the call, we see a much longer design cycle and lifecycle for Bandwidth Engine 2 looking forward for design wins et cetera. So we'll be putting more emphasis on that here in 2014.
Leonard Perham: I guess I would add to that Garry, that just I've said, we could see a little chaos in, what we'd say, next couple of quarters about margin and cost. But I intend to have this well underway by the end of this calendar year in terms of getting efficiency and effectiveness into the Bandwidth Engine backend flows. So for people that watch our window, we're not talking about a five-year project here we're talking about turning this thing around in the next few months and getting it where we wanted it to be.
Operator: Your next question comes from the line of Krishna Shankar from ROTH Capital.
Krishna Shankar - ROTH Capital: Len, you mentioned that you've got additional new design wins for Bandwidth Engine 2 at both existing and new customers. Can you give us a flavor for these customized and the types of applications? And what kind of milestones do these design wins that you already have, what things need to happen before you start to see production orders from these Bandwidth Engine 2 customers?
Leonard Perham: So in the early going, I'm just going to talk about BE2 here, Krishna, in the early going, I'd say the first few months after we or maybe a quarter-and-a-half or so after we had the Bandwidth Engine 2 family available. We saw a lot of people using it for very, very for burst applications, where packet processing engine suite couldn't handle the incoming information. So it dumped it into Bandwidth Engines and it could burse back out whenever there was a space in the traffic flow that would enable you to do that. And we saw being it used for us some access, but we didn't see anybody getting too interested in intelligent offload, where you suddenly push so higher that you find out your packet processing engine suite can't keep up. So now when we come to product applications that we've seen today, well, I mentioned on the call I kind of shoved it in there as a statement, it was in my prepared remarks, that the MSR820, the intelligent offload product has in fact made some -- covered some real ground here recently. And people are running that thing in and around 6 billion accesses per second now. And they're talking about the latest and most advanced FPGAs they'll get their hands in dominating, doing the heavy lifting in these packet processing engines, and they're finding that they can increase the efficiency of the packet processing engine by starting to really think about offloading things. And we have a lot more people talking to us about that now. So now having said that, let's just skip ahead, they're long ways ahead, so now we have Bandwidth Engine 3 coming. And while Bandwidth Engine 2 provided intelligent offload, it's what I call, hardwired intelligent offload. There is certain functions we allow you to offload. And those are the only ones you can offload. And I forgot if it's Slide 6 or 7 or 8, but there is a number that you can take advantage of, if it's good for you. And as I mentioned, they're now being used. However, when you start talking about BE3, you have the ability to consider inserting your own algorithm into a special place in that chip and being able to be rather innovative in what you offload and how you offload it and what you can achieve by doing that. And when we started talking about BE3 some 18 months or 24 months ago, customers talked about just using the hardwired part and never exploring the options to really be innovative about optimizing their system behavior. And I think we've moved past that now too. There's people looking at innovating and what can be done and solved with something that's powerful as a Bandwidth Engine 3. So I hope I've answered your question.
Krishna Shankar - ROTH Capital: And then in terms of design wins, the additional design wins with existing Tier 1 and Tier 2 customers, can you give us some flavor for the additional Bandwidth Engine 2 design wins?
Leonard Perham: Well, so far most of the design wins we have are Tier 1 guy, our BE2. And if I may have missed a part of your question, and in fact we didn't announce on this call, and I probably would consider it significant enough to share with you guys that we signed up a totally new Tier 1 guy, we did not said at this call. So we're going into new high-end platforms that are FPGA based, as number of the design. Some of them are previous customers and some are new customers. I'm going to say that in almost all cases it's in either in IP Edge or Data Center Edge. It was a very good quarter in terms of strategic important design wins.
Operator: Your next question comes from the line of Jeff Schreiner from Feltl and Company.
Jeff Schreiner - Feltl and Company: I guess, would like to just start-off with what were the total design wins in the March quarter?
Leonard Perham: Well, we've said that we were going to try to double over last year. And I would go so far as to say that the first quarter will support that achievement. So we specifically didn't bother to mention it. I don't remember if we counted any LineSpeed wins at the quarter or not, but it may just have been all Bandwidth Engine. But we're on track to meet our goal. I think the end of last year we said we would had a four times to five times increase from '12 over '13, and could optimistically close to double in this year. And that if we did that, that's a huge number of design wins. And I would say after what I'll consider to be kind of a -- first quarter is usually a little bit sleepy, but we are on schedule to meet our goals and objectives, yes.
Jeff Schreiner - Feltl and Company: And then, given some of your comments, it seems, Len, maybe that due to those topics and BE1 revenue contribution ramped during calendar year '14. Has something occurred with the product ramps there or what you're hearing from customers that let you to be a little bit more bearish I would say in terms of what may happen with BE1 in '14?
Leonard Perham: No. Actually that's not the case. I think I got a little carried away with myself last quarter, and I don't mind, and that was the last quarter, I said that in the period of 2014, we might see you guys getting less and less interested in look into design wins and more and more interested in looking at the increasing revenue and the increasing amount of margin per incremental dollar or more revenue and so on. And I think that was a bit impetuous of me that we should recognize that we are just really doing well at winning designs. We are doing very, very well at proliferating new products that people want. And that we're going to see that inflection point in revenue before you know it. And it's probably the toughest thing for a guy in my chair to call as when these guys turn on. I think that Bandwidth Engine 1, in those designs that we won early in Asia, they're all being pushed very hard. It's typical of every company I've ever been with, we're fighting and clawing to get 12 months visibility into their demands, because right now they're just calling on Thursday for delivery on Friday. And so we're trying to get them out of the engineering mode into the manufacturing mode as well. I think BE1 will be what BE1 was supposed to be. And I have no reason to think that BE2 isn't going to meet all of our expectations as well. So now, to your point though, bearish, I'm not bearishing at least. I can't see when my next round of design wins are going to release into early on volume. And I said on this call here a little earlier, Jeff, that lot of these guys that are listening right now, been partnering with me for long time and I've been really straight up with them. And I can't see that inflection point, but I can tell you good things are happening and its coming.
Jeff Schreiner - Feltl and Company: Talking about kind of BE1, BE2, what's the mix maybe. Can you give us, we're now in the April, I know you just answered that you have difficulty normally in inflection points, when it come to the customer product shipments. But what are you guys kind of looking at internally in terms of the mix between BE1 and BE2 in calendar '14?
Leonard Perham: So in calendar '14, Jim would argue with me on occasions, I've said that I thought BE2 could probably match up to BE1, but that may not be the case. It maybe that BE1 is going to represent anywhere from, I don't know, 60% to even its highest maybe 70% of all the Bandwidth Engine sales. And BE2 will make up the balance. It could be that we see -- we're surprised that we see some orders coming, because the people, among the next round of the design wins, they'll start getting release to just some pretty large equipment companies. And so we maybe pleasantly surprised. But for this morning, I would say, that I think BE1 will be greater than 50%, BE2 will be nearly the balance. And I say nearly the balance because I think we'll see some small, but growing shipments of LineSpeed. It won't amount to too much revenue in '14, but it will set a good trend for what we're going to go in '15. And I think we might, there's a very slight chance that we will show some reference boards or something on BE3. But it's a little early whether that will be the fourth quarter or the first quarter.
Jeff Schreiner - Feltl and Company: And final question from me. Jim, just coming back to your commentary about gross margin levels for the products. Given what we saw in the first quarter for cost of sales, expecting maybe that there is some improvement quarter-over-quarter as you move through the year, when do you get to recognize actual 50% gross margin for BE1?
James Sullivan: At this stage, certainly it's going to take us more than a quarter or two. So ideally I'd be looking towards the fourth quarter of this year, first quarter of next conservatively.
Leonard Perham: And Jeff, I'd like to add to what Jim said. I think usually Jim has floored me down. Right now, we are in the second quarter, and we'll report to you guys what the second quarter did in the third quarter, and we'll report to you in the first quarter what we did in the fourth quarter. So I think that in terms of when we report to you guys that where we are, it could be the second quarter of next year. There's lots to be done to get to 50. It's a combination of driving cost down, moving to from in some case from single-site to double site to four site or more testing. And you might get some of the stuff done and turned on, but you won't report it, you won't see the results of it for a quarter, because as you can imagine in your mind that -- so I would say, Jim could be a little more conservative, I think it will be, I'm guessing, we'll start to see real gain into the first quarter But we'll see measurable progress this year, so that our partners, which are the guys on the phone calls here we'll see that we're making real progress.
Operator: Your next question comes from the line of Kevin Cassidy from Stifel.
Kevin Cassidy - Stifel: Do you have any design wins that are waiting for the second source? And what magnitude would that be?
Leonard Perham: No design wins that are waiting for the second source. Up until now, it has not been a problem. And I can't look at anything and say that if we had the second source in place, we would have booked another order somewhere. But I do think that the second source provides a whole new channel with a huge amount of excitement, because of the enthusiasm of the partner. But we don't have anybody to hold them back and I don't know that I've had anybody holding off on an order. So we've should have been allowed this grace period to try to get the best possible arrangement for all people involved.
Kevin Cassidy - Stifel: And have you mostly been working with semiconductor companies or is it even system-level companies that are interested in second sourcing?
Leonard Perham: No, for the most time we've -- my interest was in a company that had been in the semiconductor business for a while, that was on the AVL of all the top 10 potential customers that my products might sell to, so that he has a channel that's more mature and seasoned than mine. We may open up some channels. And we've mentioned in the past that the BE3 behaves like a coprocessor and you could kit it together with a very advanced FPGA or uniquely architected NPU. We might setup a channel like that or we could even private-label a partner to another partner, let him put it through his channel. And we may have mentioned from time to time that we would treat that guy like a distributor and paying the commission on sales. But the particular thing we talked about right now, this would be a bilateral sourcing and even involved some co-development of products, I think.
Operator: And we'd now like to turn the call back over to Len Perham for closing remarks.
Leonard Perham: I don't have many closing remarks today. The only thing I have to say this morning is 2013 was a very good year for the company. We projected that 2014 would be more or the same. I think the next few quarters, Jim and I will be telling you about a lot of things, that increasing design wins, some things getting released in the production and cost being driven down. We're going through kind of a maturation period now. And then, one day we'll get on this call together and we'll realize that, hey, look at this, this thing is really choking up now. So we're kind of going through the necessary space between creating products, finding that there are people that really like them and are going to use them and wanted to explore it into reality. We're in between those two events. I have nothing else for today. I really do appreciate you guys getting on the call and listening to me. And we look forward to talking you again in the near future. Thanks very, very much. Bye now.
Operator: Ladies and gentlemen, that concludes today's conference. Thank you for your participation. You many now disconnect. And have a great day.